Operator: Good morning, ladies and gentlemen, and welcome to the PolyOne Corporation Fourth Quarter 2015 Conference Call. My name is Candice, and I will be your conference operator for today. At this time, all participants are in a listen-only mode. We will have a question-and-answer session at the end of the conference. As a reminder, this conference call is being recorded for replay purposes. At this time, I would like to turn the call over to Eric Swanson, Director of Investor Relations. Please proceed.
Eric Swanson - Director-Investor Relations: Thank you, Candice. Good morning and welcome to everyone joining us on the call today. Before beginning, we would like to remind you that statements made during this conference call may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements will give current expectations or forecasts of future events and are not guarantees of future performance. They're based on management's expectation and involve a number of business risks and uncertainties, any of which could cause actual results to differ materially from those expressed in or implied by the forward-looking statement. Some of these risks and uncertainties can be found in the company's filings with the Securities and Exchange Commission, as well as in today's press release. During the discussion today, the company will use both GAAP and non-GAAP financial measures. Please refer to the earnings release posted on the PolyOne website, where the company describes the non-GAAP measures and provides a reconciliation of them to the most comparable GAAP financial measures. Operating results referenced during today's call will be comparing the fourth quarter of 2015 to the fourth quarter of 2014, unless otherwise stated. Joining me today on the call is our President and Chief Executive Officer, Bob Patterson; and Executive Vice President and Chief Financial Officer, Brad Richardson. Now, I will turn the call over to Bob.
Robert M. Patterson - President, Chief Executive Officer & Director: Thanks, Eric, and good morning to everyone joining us on the call today. For the fourth quarter, we delivered record adjusted earnings per share of $0.39, an 8% increase over the prior year. This marks our 25th consecutive quarter of year-over-year EPS growth and brings us to $1.96 for the full year, an increase of 9% above last year. While we just missed our goal of delivering double-digit EPS growth for the year, I'm pleased with our results considering the negative macroeconomic headwinds we faced as well as challenges with the ongoing integration of Spartech. On a constant currency basis, EPS expanded 14% over the prior year. Perhaps, most importantly, I want to highlight for our investors the prevailing power of specialization, as evidenced by the outstanding performances from our Color and Engineered Materials segments. In 2015, Color established new records for profits and profitability as operating income reached $135 million and operating margins hit 16.7%. This is particularly impressive when you consider that half of this segment's sales were impacted by unfavorable foreign exchange, notably a weaker euro. On a constant currency basis, Color's operating income increased 17% over the prior year. Specialty Engineered Materials grew operating income 10% versus the prior year to nearly $80 million, with margins of 14.7%, a 260 basis point increase over last year. Like Color, EM was also impacted by unfavorable foreign exchange, yet, was able to overcome it, and deliver record results with strong growth in North America, specifically in healthcare, wire and cable, and composite applications. These two segments have been the driving force behind PolyOne's specialty transformation, delivering year-in and year-out. They've embodied our four-pillar strategy in every way, coming along almost unimaginable distance from where they started. If you recall, in 2006, these two segments were operating at margins below 2%, and that's when we started down the path of transitioning from volume to value. And today, these two businesses represent over 60% of our operating income. And as I said, they've achieved record operating margins of 16.7% and 14.7% respectively. But this has not been a cost-cutting story. In fact, since 2006, SG&A has more than doubled, as we have invested heavily in additional sales, marketing, and technology resources over this same time horizon. With results like these, you can see why we are continuing to invest in these businesses and related technologies. It's in that spirit that I'm excited to kick off the year by announcing our acquisition of Kraton's TPE business. This is a win for our customers as we make this investment for their product design, development and performance goals. It's also a win for Kraton and PolyOne. Kraton will supply us with styrenic block co-polymer, the basic building block of TPEs. And from PolyOne's standpoint, we will accelerate growth in this business by doing what we do best, creating unique formulations for our customers' advantage. This acquisition will be immediately accretive to PolyOne's earnings. Recall that TPEs are often found in consumer applications such as razor and toothbrush handle grips, but they're also used in many other specialty applications, such as medical devices and tubing and high performance packaging. TPEs offer unique capabilities such as vibration dampening, sound abatement, and improving aesthetic feel. Since our highly successful acquisition of GLS in 2008, we have continually invested in, globalized and grown in TPE innovation and its wide ranging value-added uses. Not only does this latest purchase allow us to grow globally with new customers and core applications, it also expands our reach into applications such as protective films used in transportation, appliances, and electronics. This deal follows closely on the heels of our exciting December acquisition of Magenta Master Fibers. Magenta broadens our solutions portfolio of colorant and additives technologies for fiber applications, and will directly accelerate global growth with local manufacturing and commercial presence in Europe and Asia. Magenta's solutions span a wide range of uses including fiber colorants used in apparel, outdoor equipment, high performance products and materials in the transportation industry. Consistent with the megatrend of improving health and wellness, additional growth opportunities include applications within hygiene healthcare and medical. Similar to our past Color acquisitions of ColorMatrix and Accella, we'll utilize our invest-to-grow approach to help our customers innovate and succeed. We already have plans for investing in additional commercial resources to support our growth projections for both Magenta and our new TPE product lines and technologies. We welcome both of these new businesses to PolyOne, and as I said, it's a great way to kick off the new year and drive growth for the future. As I reflect on delivering 25 consecutive quarters of EPS growth, clearly, our Color and Engineered Materials businesses have been at the heart of this success, but our Distribution and PP&S businesses have also achieved solid improvements in operating income and profit. These two businesses also embraced our four-pillar strategy, instilling the same principles of commercial and operational excellence employed by our Specialty businesses to drive improvement. No longer are they just focused solely on volume. They too have improved their mix, with increasing focus on less cyclical markets such as healthcare, consumer, and electronics. And when you look at the remarkable success that we have had with turning around Color, EM, PP&S and POD from their early days, you can see why we had confidence to embark on another specialty transformation with the acquisition of Spartech. While we have made progress in changing the culture and mindset of the organization, we still have a long way to go. Most notably, we have focused on improving mix and the underlying profitability of the sheet and packaging businesses now included in DSS. Unfortunately, the loss of certain large customers has overshadowed smaller, yet very relevant specialty gains, and we need to continue to take further actions to right-size our footprint accordingly. And this was evidenced by our fourth quarter results. Candidly, this only reinforces our strategy of focusing on specialty niche applications, where big is often not better. It's singles and doubles, and in specialty arenas those add up. And it also reminds us that progress with the transformation such as Spartech or PolyOne in its early days is not necessarily linear and we may have to take a step back to move forward. As with the transformation of our legacy businesses, these smaller wins have a longer sales cycle similar to our EM business and takes time to ramp up. And when they do, we will see a substantial improvement in mix and profitability, just as we delivered when we began to transform Color and EM several years ago. Regarding the cost improvement actions I mentioned, we are closing our Wichita, Kansas facility in an effort to right-size our manufacturing footprint, and we are further reducing general and administrative expenses throughout the company. This does not mean we are reducing our efforts to improve and invest in commercial and operational excellence. In fact, we are investing in and expanding these areas. Some companies might choose to make drastic across-the-board cuts to more easily get to a near term number. That's not our approach at PolyOne. We'll not make short-term decisions at the expense of our long-term goals and investing in technology, innovation, commercial excellence and value-added services to our customers. For example, at DSS, we are moving forward with targeted capital investments in our Royalite, PETG and Polycast product lines and expect certain of these investments to be operational by the end of the fourth quarter. We have over 100 active Lean Six Sigma projects at DSS and expect to train over 50% of our associates. These projects are working. I am encouraged to see sequential improvement in key operational metrics at DSS. For example, on-time delivery in December was just over 86%, up from a low of 45% one year ago. While this is still not at our stated goal of 95% plus, we made significant progress in 2015, and I am confident, DSS will soon provide world-class on-time delivery on par with PolyOne's other businesses. We are continuing to build our commercial bench strength at DSS and expect to increase commercial resources by 10% to 15%. Lastly, we are just starting to get traction with collaborative cross business unit innovation projects focused on leveraging color and additives, as well as composite materials, to create new sheet and packaging formulations for aerospace, defense, healthcare and consumer applications. So while the recent results for DSS have been disappointing, and we have a lot of work ahead of us, we see tremendous upside potential in the intermediate and long-term for DSS as I do for all of our businesses. In a few moments, I'll make some additional comments about recent innovations and how they along with our investments in commercial resources will drive growth for the future. But for now, I'd like to hand the call over to Brad who will discuss our fourth quarter results in more detail.
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: Well, thank you very much, Bob, and good morning everyone. And I'm very pleased to provide additional comments and perspectives on our results for the quarter and the year. As Bob said, we delivered record fourth quarter adjusted EPS of $0.39 per share, and I'm extremely proud of our team's ability to navigate the uncertain macroeconomic environment and shortfall at DSS to deliver a year-over-year growth. For the year, we reported adjusted EPS of $1.96 per share, an increase of 9% from 2014. The weaker euro alone reduced earnings per share by $0.08, when compared to last year. In other words, if we reported our earning on a constant currency basis, adjusted EPS would have grown by 14% for the year. Now, since Bob already covered the DSS results, I will focus my comments on other segment performances and other items impacting Q4. Turning to Color, Color, Additives and Inks posted strong results with fourth quarter operating income expanding to $28 million. In addition, return on sales increased 80 basis points to 14.9% despite a weaker euro, which negatively impacted year-over-year OI by over $800,000 for the segment. Our North American Color and Additives business grew income by over 17%, driven by new business wins in transportation and healthcare applications. Specialty Engineered Materials fourth quarter return on sales grew to 13.1%, an increase of 80 basis points over the prior year. Operating income declined slightly due to the timing of order patterns for certain consumer projects in 2014 and weaker-than-expected result in Europe in December of 2015. Our North American Engineered Materials business finished very strong, capping a banner year for the region with full year revenue growth of 15.6% and operating income growth of 72%, demonstrating the tremendous leverage that we have in our business, a fantastic team effort all around. Performance Products and Solutions resumed its momentum in the fourth quarter and increased operating income over the prior year. OI expanded 15% to $14 million. In addition, operating margins grew by 260 basis points to 8.9% as PP&S continues to successfully optimize portfolio mix and improve operating efficiency. But we also hope this is a positive sign for continued strength in North America. You have heard us highlight our innovations in the healthcare and electronics industries, and our newfound possibilities for vinyl have led directly to higher margin business, that has helped to partially offset the negative impacts of destocking and pricing driven by lower hydrocarbon based raw material costs. Our Distribution segment also had a solid quarter. Q4 was our third consecutive quarter of year-over-year volume increases enabling us to overcome the substantial customer destocking that occurred in Q1. Margins expanded 70 basis points to 6.4%, and despite the negative effect raw material pricing on sales, POD was able to increase operating income 4% over the prior year to $16 million. Our investments in new sellers and training are paying off. On a GAAP basis, EPS in the quarter was $0.04 versus $0.16 loss in the prior year quarter. Special items in the quarter resulted in a net after-tax charge of $30 million or $0.35 per share and included the following: debt extinguishment costs of $16 million associated with the refinancing of our 2020 notes; restructuring charges of $16 million, primarily related to actions taken in DSS; and a mark-to-market pension adjustment of $12 million, driven by lower financial market returns on our invested pension assets. Free cash flow for the quarter was $68 million, and we ended December with a cash balance of $280 million. Our working capital has also remained world-class as we improved to 9.7% of sales on a trailing 12-month basis from 9.9% last year. From a balance sheet perspective, in November, we completed a very successful refinancing. We issued $550 million in Term B notes with a stated interest rate of 3.75%. This is substantially lower than the 7.375% interest rate we had on our 2020 senior notes which were retired. Additional proceeds from the note offering were used to repay all amounts outstanding under our revolving credit facilities and our 7.5% debentures due in December of 2015. With total liquidity now over $620 million, our balance sheet is strongly positioned to allow us to navigate these uncertain macroeconomic conditions and fund future growth initiatives. That concludes my prepared remarks. I will now hand the call back to Bob.
Robert M. Patterson - President, Chief Executive Officer & Director: Thanks, Brad. As I reflect on 2015, it was a year of overcoming many short-term challenges, but a closer look reveals that it was also a year, during which we made the right choices for the long-term. It was a year in which we delivered 9% EPS growth when many companies were challenged to grow at all. In 2015, we continue to invest in commercial resources, technology, and new facilities and equipment, despite the short-term macro challenges we faced. A few examples include, we proudly opened our new state-of-the-art Asia Innovation Center in Shanghai for improved collaboration and speed to market for our customers. We invested in commercial, research and development and marketing resources and previously stated that we increased our sales team by 9% over the prior year. We invested $90 million in targeted capital investments to expand our specialty offerings within Engineered Materials and to improve operational efficiencies at DSS. We invested in our leadership team, including adding two new proven executives, John Midea to head operations globally, and Rich Altice to lead DSS. And as you saw in early January, we welcomed Joel Rathbun back to lead M&A. And in that regard, we recently completed two bolt-on acquisitions that will accelerate our specialty growth. Last, but certainly not least, we continue to invest in innovation, which is at the core of what makes us the specialty company. In 2015, our vitality index reached 43%, and recall that this measures the current year revenue impact from products introduced in the last five years. It is a very important reflection of how well we are bringing new specialty solutions to market. And you have often heard us mention that singles and doubles are the foundation of growth, and they do make up a big part of our vitality index, but sometimes we also bet big. And in November, we announced a revolutionary new fiber coloration technology, and this new technology combines ColorMatrix Liquid Color Concentrates and our proprietary equipment to enable late-stage color injection for fibers. Typical fiber dyeing today can use up to six gallons of water to color a single pound of fiber. Our new melt-inject ColorMatrix technology uses no water, less energy, and fewer chemicals. We believe that this revolutionary technology coupled with our acquisition of Magenta is a game-changer for PolyOne. Together, these investments position us in a high growth market that we have not historically participated in. And we are confident that our entry into the fiber colorant market has the potential to be much greater than a typical single or double. At PolyOne, we remain focused on providing our customers with differentiating service and unique value-added offerings as we concentrate on penetrating our key end markets. We were excited to launch our new dedicated PolyOne outdoor high performance solutions team focused on certain segments of the consumer market. This group of associates will collaborate across all of our businesses to deliver solutions in outdoor recreational activities as well as certain applications for law enforcement and the military. This is right in our sweet spot where we can leverage our formulation and technology expertise to create lighter weight, more durable metal replacement solutions. In recent years, we have quietly achieved early success in growth in this market. A great example of this success includes the recent announcement by Guns & Ammo magazine to award our customer, PolyCase, with its prestigious Ammo of the Year Award for its polymer ammunition utilizing our proprietary Gravi-Tech material. We have won the trust and respect of many senior leaders in the industry, who are now looking to us to collaborate with them to bring new and innovative products to market. During a recent meeting I had with a customer in the industry, he said to me, I know you guys are great at plastics but that's not what defines you. What defines you is service, and that's what I love about PolyOne. Having you as a trusted supplier has been a game-changer for us. Service is our timeless differentiator. We continue to formalize additional service offerings that extend well beyond specialty polymer formulations and are value added for our customers. And to receive this comment from our customer is the highest compliment we could receive. During Brad's remarks, he shared with you our recent refinancing which allowed us to substantially lower our stated interest rates, extend debt maturities and increase liquidity to over $600 million. And let me add that, overall, we are very modestly levered at 2 times EBITDA and, in short, we have a very strong balance sheet. As investors, you should know that we are well positioned for the future, including whatever short-term challenges lie ahead. We will continue to focus on what we can control and transforming the legacy Spartech businesses is a priority. From an earnings perspective, I expect double-digit growth from our legacy PolyOne businesses to more than offset weaker earnings from DSS, as we take actions to improve mix and the underlying assets needed to support this segment. Longer term, I believe our earnings power returns to strong double-digit growth as we execute our four-pillar strategy. Key drivers of this include the 9% increase in sellers I previously mentioned that we added this year. They have hit the ground running and are already delivering. Ongoing benefits from operational excellence and Lean Six Sigma as we continue to invest in and train our associates in these important principles; improving DSS, and achieving an uplift from its earnings profile in the latter half of 2016. But lastly and most importantly, innovation will deliver the most significant and sustainable growth in earnings, with numerous singles and doubles and a few big bets coming to fruition. If this sounds familiar to you, it should. As investors, you know that our commitment to specialization is unwavering. This is not a time to change for change's sake. Our established Specialty businesses will continue to thrive, but we are investing in the right areas to drive long-term growth in all of our segments, with innovation underpinning revenue and margin expansion in each. We have the right strategy and team in place to guide us towards and reach our Platinum Vision for 2020. With that, we have time for questions.
Operator: Thank you. And our first question comes from Frank Mitsch of Wells Fargo. Your line is now open.
Frank J. Mitsch - Wells Fargo Securities LLC: Hey. Good morning, gentlemen. Hey, Bob, I just wanted to share the excitement that I had when the issue of Guns & Ammo magazine hit my doorstep and I saw that you guys won Ammo of The Year award. So that was certainly something that warmed the cockles of my heart. I wanted to see what else has happened within PolyOne. If I think about where the earnings come in, this is a bigger miss relative to consensus than we've seen before. And I know that Brad mentioned that Europe was weak in global Specialty Engineered Materials in December. Was there anything else that happened within the fourth quarter that turned out a little bit more negative than you had originally anticipated?
Robert M. Patterson - President, Chief Executive Officer & Director: Well, on balance, the results for Designed Structures and Solutions fell short of our expectations, Frank. And that obviously has been a theme throughout the first three quarters of the year, but got worse in the fourth quarter. One of the observations that I made in my previous remarks was that we have observed some losses with larger customers and had one in the second half of the year or actually towards the – in the fourth quarter. And these larger customers have had the ability to in-source production. As we have talked about earlier in the year, we knew about one or two of those. One of them took place before we bought Spartech, one was ongoing, and we knew that some of these could take place. We've been working diligently to try to effectively present our value proposition to these customers and we were unsuccessful with this most recent customer. And so, I would point to those DSS results as being the single largest disappointment and/or difference vis-à-vis our expectations and would say that's the largest reconciling item probably to the Street expectations as well.
Frank J. Mitsch - Wells Fargo Securities LLC: All right. That's very helpful. And you mentioned in your closing remarks that you are anticipating double-digit growth out of the legacy PolyOne businesses to more than offset lower earnings at DSS. Were you implying that 2016 for DSS is likely to be below the $13.8 million in 2015 EBIT for DSS?
Robert M. Patterson - President, Chief Executive Officer & Director: Yeah. With this recent in-sourcing discussion that we just had, that's certainly going to be the case for 2016. I do think that we have growth opportunity in the latter half of 2016, but in the first half, we will see a year-over-year earnings decline and my sense is that even with an uptick in the second half, we'll still have lower earnings overall for DSS.
Frank J. Mitsch - Wells Fargo Securities LLC: All right. I appreciate the candor. Thank you.
Robert M. Patterson - President, Chief Executive Officer & Director: Yes.
Operator: Thank you. And our next question comes from Mike Sison with KeyBanc. Your line is now open.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Hey, guys. Good morning.
Robert M. Patterson - President, Chief Executive Officer & Director: Hi, Mike.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Can you maybe walk us through some of the drivers of generating double digit growth from global Color, Engineered Materials, and I guess, I'm assuming PP&S and Distributions to play a part into the growth in 2016?
Robert M. Patterson - President, Chief Executive Officer & Director: Yeah, my comments about our expectations here, one is that we expect double-digit EPS growth from all of our segments. I mean, that's our goal. And on a consolidated basis, the same is true. When I look at the components of that here in the near-term, I obviously just outlined that we have to overcome lower earnings in DSS. I expect Color and Engineered Materials to continue on the trajectory that they have been for the last six years, and I can talk about some specific drivers for that. For PP&S and Distribution, we still have some pricing influences to overcome with respect to where hydrocarbons are. And if you look at the start of the year, they are lower than where they were in 2015. So we've got some level of that to overcome, but believe that we will. We're seeing positive trends already from a volume standpoint in both of those two businesses going into 2016, so see that as a positive. Look, with respect to what's going drive growth in Color and EM, it's going to be a continuation of our focus on winning new business in specialty applications. Oftentimes, those are singles and doubles, Mike, as you know. There isn't one large win that I would point to. But as I look beyond 2016, we are particularly excited about the new Fiber Colorant technology that we just introduced, which has the potential to be a real game-changer for PolyOne.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Okay. Great. And just a quick follow-up, and I guess the double-digit EPS growth from the $1.96 pins you somewhere in the $2.15 range, is that kind of the way to think about it? And then, I guess, I'm just little bit confused on the DSS commentary. I think, in the last quarter, the expectation was maybe hitting in the low 20%s (34:40), and you lost one, kind of, big contract that sounds like a $5 million, $6 million, $7 million, $8 million in terms of the hit, is that the way to think about that one, sort of, hit? And I guess maybe – sorry I'm piling the questions on. But what do you think needs to happen to get profitability where it needs to be for DSS longer term?
Robert M. Patterson - President, Chief Executive Officer & Director: Well, the most – like, the transformation here for DSS really needs to follow the same transformation we experienced in both EM and Color and our legacy businesses in its very early days. And if you recall, back then, PolyOne struggled with its identity in terms of who we wanted to be and what we were going to do in the marketplace. We quickly learned and transformed away from large volume-oriented commodity applications and moved towards specialty applications, which are often lower volume. In the short-term, that has been an earnings hit for DSS. Certain of these have been larger customers who have in-sourced their production, meaning they're just manufacturing this for themselves. That is a big disappointment for us. And categorizing sort of the composite impact of that going into next year is lower earnings, primarily in the first half of the year. And I guess that's the best way that I would categorize that. The remaining opportunity is to reduce costs in DSS. When we first bought Spartech, we announced a certain number of plant closures, said that we would continue to evaluate our asset base and we do that with the underlying business that we have. And with this larger loss, we expect to close the facility that I mentioned today as well as take some broader cost actions across general and administrative expenses. That's the best way I can really characterize for you, Mike, what we're seeing in DSS and what our focus needs to be on these specialty, smaller applications, and in improving the profitability of them.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Okay. Great. Thank you.
Operator: Thank you. And our next question comes from Bob Koort from Goldman Sachs. Your line is now open.
Ryan Berney - Goldman Sachs & Co.: Good morning. This is Ryan Berney on for Bob.
Robert M. Patterson - President, Chief Executive Officer & Director: Hey, Ryan. Good morning
Ryan Berney - Goldman Sachs & Co.: I just had a quick question on the acquisition of Kraton, was that – was kind of the EBITDA number you quoted, something that's kind of TTM number, was there may be a negative LIFO impact included in there that might make that multiple kind of excluding that a little bit cheaper?
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: No LIFO impact. I mean there is a certain level of working capital that we acquired that I guess you could look at as a good guide that was included in the purchase price. As I said earlier, we do believe it's EPS accretive. That's probably around $0.02 to $0.03 a share here in 2016.
Ryan Berney - Goldman Sachs & Co.: Okay. Great. And then, in the medium run, do you think that – do you feel like deal multiples are now falling to a level that you're comfortable with now with both Magenta and this acquisition being closed in the last couple of months?
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: Well, I mean it's – obviously, there were a number of high multiple deals last year done by other companies. When I look at what we paid for Magenta at around 7.5 times and Kraton, the TPE business at 9 times, I think that's more reasonable than what other companies paid in the previous year. For us, when we focus on these smaller specialty niche companies, we're focused on those that can deliver growth, and if you look over time, what our track record of success with GLS, ColorMatrix, Glasforms, NEU, for example, these have all been great acquisitions. And the multiples we paid for them, they've all declined dramatically over time. So it's hard for me to draw a conclusion across the broader market, Ryan, in this such a short period of time that may be taking place with the recent downturn in the market. I think what we paid was a fair price for both businesses.
Ryan Berney - Goldman Sachs & Co.: Great. Thanks. And one more, if I could, really quick, just if you could comment on the volume growth you saw in the EM and Color businesses in the fourth quarter?
Robert M. Patterson - President, Chief Executive Officer & Director: Yeah, we had – we are going to have more specifics, I know, in the K when that comes outs. But volume was down a little bit in Color, and most of that was actually related to some of the legacy Spartech business. We were up a little bit in EM and then POD was up, I think, about 4% or so in the fourth quarter. And typically, when you look at that business, that's an important metric just because the influence of raw material prices on the top line for sales.
Ryan Berney - Goldman Sachs & Co.: Great. Thank you.
Robert M. Patterson - President, Chief Executive Officer & Director: Certainly.
Operator: Thank you. And our next question comes from Kevin Hocevar of Northcoast Research. Your line is now open.
Kevin William Hocevar - Northcoast Research Partners LLC: Hey. Good morning, guys.
Robert M. Patterson - President, Chief Executive Officer & Director: Hi, Kevin.
Kevin William Hocevar - Northcoast Research Partners LLC: Wondered if – I think you've talked in the past about sales, total top line sales potentially turning positive sometime in the first half of 2016 with all the added sales force and everything. Just wondering your take on that now given the developments in Spartech and if you think that can still turn positive sometime in the first half of the year or if you think that's pushed back a bit?
Robert M. Patterson - President, Chief Executive Officer & Director: I think we've still got a chance to get there exiting the second quarter, inclusive of this acquisition we just completed. When I look at where DSS results landed in Q4 and the challenges that we just talked about, Kevin, those certainly have to be overcome to accomplish that. So – and I see that being more of a second half story than first half.
Kevin William Hocevar - Northcoast Research Partners LLC: Okay. And then, when I look at PP&S segment, you grew gross margins pretty strong, up 400 basis points in the fourth quarter, making that by far the best performance in terms of the margin profile of that business for the year. And seasonally, this tends to be the lowest margin. So, wondering if you could go into a little more detail on what allowed that to happen? Was there any one-time benefits or any price rise (41:20) or anything like that and kind of how you expect that margin profile to carry forward into 2016?
Robert M. Patterson - President, Chief Executive Officer & Director: Yeah. There's no one-timer to point out. Inside of that segment, we really have two different businesses: our historic vinyl business, the Geon brand, and our contract manufacturing as well as what we acquired from Spartech. And it's kind of a mixed story there with the Geon vinyl business doing very well and the contract manufacturing being down. So, on a net basis, just continuing to improve our mix and Geon is probably the best and single largest influence I could point to of 2015 over 2014.
Kevin William Hocevar - Northcoast Research Partners LLC: Okay. Great. Thank you.
Operator: Thank you. And our next question comes from Jason Freuchtel of SunTrust. Your line is now open.
Jason A. Freuchtel - SunTrust Robinson Humphrey, Inc.: Hey, good morning.
Robert M. Patterson - President, Chief Executive Officer & Director: Hi, Jason.
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: Hi, Jason.
Jason A. Freuchtel - SunTrust Robinson Humphrey, Inc.: Just touching on the acquisition a little bit more, can we assume the margin profile of the business is similar to the margin profile of your Specialty Engineered Materials business? Is the supply agreement for hydrogenated SBCs or unhydrogenated SBCs? And have you previously had a relationship with Kraton or did you source SBCs from other producers?
Robert M. Patterson - President, Chief Executive Officer & Director: Well, first of all, the EBIT margin is a little lower than where EM is right now. Interestingly, it's actually very close to where, I would say, GLS was when we first acquired them. With response to your question about a relationship with Kraton, they have been a supplier for ours for many years, and a supplier to GLS well before PolyOne acquired GLS. We've had an ongoing relationship with them in terms of some of their product lines and some of their supply, and for the most part, what they would be supplying into us, their HSBCs.
Jason A. Freuchtel - SunTrust Robinson Humphrey, Inc.: Okay. Great. And so far in the first quarter, are you seeing any softness in any particular geographies for any of the segments?
Robert M. Patterson - President, Chief Executive Officer & Director: Yeah. It's always hard to draw a conclusion from either December or January. I really like to see how the quarter evolves to do so. December was not as strong as we were expecting it to be. I'd say January is probably right on par with where we thought from an expectations standpoint. There is certainly a lot of uncertainty in the marketplace. And customers routinely cite that in terms of ordering in smaller quantities, and lower volumes and shorter periods of time and less lead time. So there's definitely a lot of uncertainty out there. There isn't one conclusion I would draw on a specific end market that I could share with you from my experience so far in January, however.
Jason A. Freuchtel - SunTrust Robinson Humphrey, Inc.: Okay. Thank you.
Operator: Thank you. And our next question comes from Ben Kallo of Robert Baird. Your line is now open.
Tyler Charles Frank - Robert W. Baird & Co., Inc. (Private Wealth Management): Hi. Good morning, guys. This is Tyler Frank on for Ben.
Robert M. Patterson - President, Chief Executive Officer & Director: Hi, Tyler.
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: Hi, Tyler.
Tyler Charles Frank - Robert W. Baird & Co., Inc. (Private Wealth Management): Quick question, just wanted to touch on the cost reduction programs that you have in place. When we think about the acquisition and then also the closing of the Wichita facility, how should we think about SG&A costs in 2016 compared to 2015?
Robert M. Patterson - President, Chief Executive Officer & Director: Yeah. The cost reductions, first of all, with respect to the plant closure that we discussed, that obviously will take some time to affect, and we will start to see the benefits of that in the second half of the year. Everything held equal, as I look forward into 2016, we do expect SG&A to be up, but not in the area of general and administrative costs. I see that coming down. However, as we've said a number of times on the call, we've increased our sales force by 9%, and see that trailing into the next year to give us an overall uptick in SG&A for 2016. You will see some of that in the first quarter and more of that coming in the second half of the year, I mean, with respect to the DSS savings.
Tyler Charles Frank - Robert W. Baird & Co., Inc. (Private Wealth Management): Great, and then, can you discuss the on-time deliveries that you guys saw in January? Obviously, December was a very strong number, but did you carry that forward into January? And do you expect to carry that forward throughout the remainder of Q1?
Robert M. Patterson - President, Chief Executive Officer & Director: Yeah, we did. I mean, we continued to show improvement. I think that was a DSS specific question, but it's true for PolyOne as well that we continue to have improving performance for DSS and at or near 95% for the balance of PolyOne's businesses in January.
Tyler Charles Frank - Robert W. Baird & Co., Inc. (Private Wealth Management): Great. Thank you.
Robert M. Patterson - President, Chief Executive Officer & Director: Yes.
Operator: Thank you. And our next question comes from Laurence Alexander of Jefferies. Your line is now open.
Laurence Alexander - Jefferies LLC: Good morning. Can you just clarify two things? First, can you walk through any non-operating items that affect the cash bridge to free cash flow in 2016? And secondly, your comment around offsetting the weakness in DSS, is that true for Q1, i.e., should earnings be positive in Q1? Or is that just more true for the full year?
Robert M. Patterson - President, Chief Executive Officer & Director: I'll take your second question, Laurence, and then Brad can comment on the cash flow expectations for next year. So my comment on DSS is we are going to immediately see lower earnings here in the first part of the year. So that was an observation I am making about Q1 and Q2, with an opportunity to start to show some improvement in the second half of the year.
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: Yeah, Laurence...
Laurence Alexander - Jefferies LLC: Just to be clear with that, lower earnings for the entire company or lower earnings in DSS? I guess...
Robert M. Patterson - President, Chief Executive Officer & Director: I was talking about – sorry, DSS. DSS.
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: Yeah, and Laurence, regarding your question on kind of non-operating items that might impact the free cash flow in 2016, I mean, right now as we sit here, the announced restructuring actions that we took in the fourth quarter, there will be an additional $10 million worth of restructuring charges in the first half of 2016. And then, we'll have our ongoing, kind of, environmental costs. So, I expect the overall special charges, if you will, to be about $15 million. Of which, about half of that is cash. Those are – that's the only really significant what I call non-operating factor impacting our free cash in 2016.
Laurence Alexander - Jefferies LLC: Any working capital relief apart (48:41) from lower input costs?
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: No, I mean, I would expect the working capital this year in support of the second half as we begin to move the top line. I expect the working capital to be a slight negative.
Laurence Alexander - Jefferies LLC: Okay. Thank you.
Operator: Thank you. And our next question comes from Dmitry Silversteyn of Longbow Research. Your line is now open.
Matthew Skowronski - Longbow Research: Good morning, guys. This is Matt Skowronski on for Dmitry. In your PP&S segment, you guys did a good job of expanding – going off of Kevin's question – margin during the quarter on year-over-year basis. Was there any hit from the Canadian dollar slide during the quarter? I know you guys are pretty heavily exposed to it?
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: No. We have – it's not a material number by any stretch. Yeah, we do have, I think, 5% to 6% of our sales in Canada, preponderance, of which is in POD and in PP&S, but nothing that I would point to as any level of significance.
Matthew Skowronski - Longbow Research: Okay. All right. Thanks. And you mentioned a slowdown in Specialty Engineered Materials within Europe in the December quarter. Can you talk about the end markets and whether that was, kind of, a macro thing or you think it was just customer specific?
Robert M. Patterson - President, Chief Executive Officer & Director: I think it's too early to determine whether or not it's a macro thing. Like I said, I try not to draw too many conclusions from what happens here in December and/or January. In February, I think we'd start to get a clearer picture on what to conclude for the year. And so, at this point, I don't know that it was macro as much as it was probably just a hesitation to advance orders in December versus the beginning part of this year. And as I look at where things are in January in Europe, I see that trending a little bit better than what we saw in December. So, hopefully that plays out to be a little bit of momentum that are going into 2016.
Matthew Skowronski - Longbow Research: That's all the questions I have. Thank you.
Robert M. Patterson - President, Chief Executive Officer & Director: Thank you.
Operator: Thank you. And our next question comes from Mike Harrison of Seaport Global. Your line is now open.
Michael Joseph Harrison - Seaport Global Securities LLC: Hi, good morning.
Robert M. Patterson - President, Chief Executive Officer & Director: Hi, Mike.
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: Hi, Mike.
Michael Joseph Harrison - Seaport Global Securities LLC: Bob, I was wondering if you could give just a little more detail on exactly what you're getting from Kraton. Are you purchasing plants there? Or is it more technology and customers? And that is going to go into the Engineered Materials segments, correct?
Robert M. Patterson - President, Chief Executive Officer & Director: Yeah. That's going to go into Engineered Materials, more specifically, the GLS business. And we are acquiring certain technologies. We are acquiring certain assets, but no plants. So, the ultimate goal and objective is to ultimately transition manufacturing into one of our existing PolyOne facilities. That's the easiest way to think about that, Mike.
Michael Joseph Harrison - Seaport Global Securities LLC: And do you have any sense of what that's going to look like, what the transaction multiple would look like on a post synergies basis?
Robert M. Patterson - President, Chief Executive Officer & Director: I think, certainly, once we have those products up and running on our lines that there is some synergy benefit, when you consider what that is on a multiple basis that probably takes a couple of turns off of it. It's – candidly, it's sort of a small part of the deal. And I really look more at the commercial aspects in growing the business. We will invest in additional resources to help support that, which is offsetting some of that benefit. So I wouldn't draw a significant conclusion or benefit from the consolidation itself.
Michael Joseph Harrison - Seaport Global Securities LLC: All right. Then, for Brad, I was just looking for some guidance on below the line pieces; the tax rate interest expense and share count, if you can maybe talk about what the repurchase plans might be for 2016?
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: Yeah. So, I think, in terms of the tax rate question, we probably average about 32%, which is in line with how we've kind of closed out 2015. In terms of the interest costs with the refinancing that we've done, I would expect that our interest cost year-over-year would be down $5 million to $6 million, that's a substantial savings from the outstanding work that we did on the refinancing. And certainly, the share count, as we've always been, we'll look for opportunities in the market to repurchase our stock, but I'm not ready to announce what that is. Again, we ended the year with about 86 million shares outstanding.
Michael Joseph Harrison - Seaport Global Securities LLC: All right. Great. Thanks very much.
Robert M. Patterson - President, Chief Executive Officer & Director: Sure. Thanks, Mike. We have time for one more question.
Operator: Thank you. And our final question comes from the line of David Stratton of Great Lakes Review. Your line is now open.
David M. Stratton - Great Lakes Review: Good morning. Thanks for taking the question.
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: Hi, David.
David M. Stratton - Great Lakes Review: Can you tell us about those large customers in DSS? Are there any others that have the ability to switch over to in-sourcing? And if so, is that forecasted into your 2016 earnings?
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: I mean, the short answer as to that is that I don't see any additional customers making that same decisions. In terms of the types of products and services that we're offering, again they're smaller niche applications that are getting closer and closer to what we do well with Color and EM. So I don't see that as a risk in the future, to answer your question, and look, with respect to what I view as the future or forecast for DSS, I've been pretty clear on what I think the earnings impact is going to look like in 2016, and that really incorporates everything that I know today.
David M. Stratton - Great Lakes Review: All right. Thank you. And then, can you give us any guidance on what your CapEx for 2016 looks like?
Bradley C. Richardson - Chief Financial Officer & Executive Vice President: Yeah. I think this year we spent about $90 million and I think that's a good – between $85 million and $90 million is a good proxy for 2016.
David M. Stratton - Great Lakes Review: All right. Thank you very much.
Robert M. Patterson - President, Chief Executive Officer & Director: Yeah. Thank you. And I just want to say thanks for all of our investors and analysts who joined us on the call today and your continued interest in PolyOne. We look forward to speaking with you again at the conclusion of the first quarter results. Thank you.